Operator: Good day everyone and welcome to the Rayonier Third Quarter Earnings Release Conference Call. (Operator’s Instructions) At this time, for opening remarks and introductions, I would like to turn the call over to Senior Vice President, Mr. Hans Vanden Noort. Please go ahead sir.
Hans E. Vanden Noort: Thank you and good morning. Welcome to Rayonier’s investor teleconference covering third quarter earnings. Our earnings statements and supplemental materials were released this morning and are available on our website, rayonier.com. I’d like to remind you that in these presentations we include forward-looking statements made pursuant to the Safe Harbor Provisions of the Private Securities Litigation Reform Act of 1995 and other federal securities laws. Our earnings release as well as our Form 10K filed with the SEC lists some of the factors which may cause actual results to differ materially from the forward-looking statements we may make. They’re also referenced on page 2 of our supplemental material. Please familiarize yourselves with them. Also, this conference is being webcast, and it can be accessed through our home page. With that, let’s start our teleconference with opening comments from Lee Thomas, Chairman, President, and CEO. Lee?
Lee M. Thomas: Thanks, Hans. First I’ll make a few opening comments. Hans will then take you through the financials, after which, Tim Brannon, our Senior Vice President for Forest Resources; Charlie Margiotta, Senior Vice President and head of our real estate business; and Paul Boynton, Senior Vice President for Performance Fibers and Wood Products, will review those business segments. I’d like to first discuss our financial position, especially in light of the unprecedented turmoil in the credit markets. We’re well-positioned with a low level of debt and no near-term debt maturities. We also benefit from the diversity and balance of our three core businesses that continue to generate strong cash flows. This balance was again evident this past quarter, as continued interest in our non-strategic timberlands, strong demand in cellulose specialty fibers as well as absorbent materials, partially offset ongoing softness in the sawlog timber markets. Now, turning to our businesses, in timber, sawlog prices remain depressed due to the weak housing market and an over supply of blow-down timber in the northwest. As a result, we continue to limit our sawtimber harvest in both the west and the east, to preserve our high value of grade timber until markets improve. However, in the east, demand for pulpwood remains very strong, and we continue to adjust our harvest to take advantage of this favorable market. In real estate, we continue to shift emphasis from sales of development lands to timberland sales. In particular, demand for our non-strategic timberlands remained strong. We sold nearly 11,000 acres in the third quarter as part of our strategy to upgrade our overall timberland portfolio. In Performance Fibers, market conditions remain strong for both sale of specialties and absorbent materials. However, we continued to experience unprecedented increases in our overall cost, particularly around wood, chemical cost, transportation, and energy. As a result, we implemented a cellulose specialties surcharge on September 1st. Overall, as I said earlier, our businesses are performing well in a challenging environment. Now, let me turn it over to Hans for a review of the financials.
Hans E. Vanden Noort: Okay, let’s start on page 3 with our overall financial highlights. Sales totaled $308 million, resulting in an operating income of $49 million and net income from continuing operations of $40 million, or $0.50 per share, which was below prior year but slightly above prior quarter. Note that our comparisons are income from continuing operations because net income this quarter includes a $10 million loss from discontinued operations, resulting from our decision to offer our New Zealand business for sale. This loss is primarily due to two tax items which accounting rules require that we recognize ahead of the actual sale. The first is a $5.8 million charge for evaluation reserve for a net operating loss carry-forward that we no longer expect to utilize. The second item is a $4.4 million charge to provide U.S. taxes on unremitted earnings that we previously expected to reinvest in New Zealand and therefore did not provide U.S. taxes for, as allowed under GAAP. Since our intent is to repatriate the sales proceeds to the U.S., this tax election is no longer valid. So, we have some one-time charges that are coming through just operations this period. For all subsequent comparisons on the call, we’ll use income from continuing operations. On the bottom of page 3 we provide an outline of cash resources and liquidity. Year-to-date cash flow remains strong with an adjusted EBITDA of $283 million and cash available for distribution of $159 million. These amounts are below the prior year, primarily due to a $47 million real estate sale to an industrial buyer in the third quarter of 2007. Our debt and debt-to-capital ratio increased slightly from year end, reflecting additional debt proceeds to fund a portion of our $213 million Western timberland acquisition that closed on April 3rd. We ended the quarter with approximately $55 million in cash. So, on a net debt basis we’ll be finished at $739 million. Moving down to page 4, we’ve prepared a sequential quarterly variance analysis. Starting with timber, the third quarter is typically a low-harvest quarter, and this year was no exception. Log prices in the western region were also down, reflecting the oversupply of available timber caused by a blow-down from last winter’s storm. On the cost side, we recognize $3 million of increased depletion expense related to the timberland acquisition from this past April. The costs in virtual inventory of this acquisition were added to our Legacy holdings, which increased the average cost basis of our inventory and therefore our depletion rate. Moving to Performance Fibers, results improved, driven by increased shipments of cellulose specialties and slightly stronger pricing. Finally, our tax expense improved by about $7 million from the second quarter. The primary driver was a settlement with the IRS over a disputed real estate sale, which resulted in almost $4 million reserve reversal. We also had some favorable return to accrual and deferred tax adjustments. Let’s move on now to page 5 to briefly review the year-over-year variances. On page 5 we begin with last year’s third quarter earnings of $0.89 per share. Our timber income was $13 million below last year, mainly due to lower sawlog prices, particularly out west, and increased depletion, as noted earlier. Next, our real estate results were $34 million below third quarter last year, primarily due to the $47 million industrial sale previously referenced, partially offset by increased nonstrategic timberland sales. Performance fibers results reflect improved prices in both cellulose specialties and absorbent materials. However, costs were unfavorable, driven by higher input costs, somewhat mitigated by lower depreciation expense. Finally, taxes were $9 million below the third quarter last year, reflecting the tax items previously noted. These amounts bring us to the current quarter’s result of $0.50 per share. These variance descriptions generally apply to the nine-month’s data included on the right side of the chart. Turning now to page 6 to review cash available for distribution, on this page we’ve reconciled from cash created by operating activities, which is a GAAP measure to our non-GAAP metric of cash available for distribution. Our cash flow remains strong with year-to-date CAD totaling $159 million, and although below last year’s CAD, well above our year-to-date dividends of $118 million. On page 7, we’ve prepared a debt maturity schedule. Given the current credit crisis, we thought it was timely to revisit this. Note that we have no near-term refinancing needs. Our next major maturity is $122 million of an installment note that’s not due until December 31st of 2009. Also please note that we have a $250 million revolving credit facility with $144 million of remaining capacity, which is available at an interest rate of liable plus 40. This facility does not expire until August 2011. All in all, we believe our strong balance sheet, conservative credit profile, and strong consistent cash generation provide liquidity which will position us well to manage through this current turmoil in the credit markets. With that, let me turn the conference over to Tim Brannon to cover Forest Resources.
Timothy H. Brannon: Thanks, Hans. Although timber markets remain challenging, we have continued to adjust our product and geographic mix to meet market demands. Lumber and plywood prices deteriorated in September and October, causing mills to take curtailments. We anticipate that many sawmills will also take extended holiday closures in November and December. As a result, pulp mills are relying on round wood for fiber since residual sawmill chip supply is tight. We remain focused on leaving high-value saw timber standing and harvesting pulpwood to meet that market demand. In the west, shown on page 9, volume was down sequentially, as well as compared to prior year. While third quarter is normally a lower volume quarter, the ongoing slowdown and housing starts clearly had an impact on our harvest as we continued to hold sawlogs off the markets. Pricing was also lower sequentially and compared to prior year, as we were affected first, by the falling lumber market and second, by the oversupply of logs continuing to come onto the market from the December 2007 blow-down. Both of these factors are expected to remain with us in the fourth quarter. We are committed to holding back volume of our high-value sawlogs, so we expect fourth quarter volume to be comparable to third quarter 2008 and fourth quarter 2007. Prices expected to decrease by about 15% in the fourth quarter, as compared to the prior quarter, as the percentage mix of salvage wood will be higher. The market for pulpwood in the west remains solid as pulp mills are concerned about the supply of fiber this winter given the number of sawmill curtailment announcements. At present, however, the volume of the blow-down salvage wood is easily meeting the demand for round pulpwood in our coastal market. Currently the export log market is by and large stable. We view this as good news, given the worldwide financial market crisis of late. Moving to the east on page 10, the poor lumber prices continue to have an unfavorable impact on our grade timber markets. Fortunately pulpwood markets have remained strong, and we have continued to look for opportunities to expand the availability of pulpwood harvest in thinnings. At the same time, we are holding back on the harvest of stands containing a higher percentage of grade timber until the markets improve. Pine volume for third quarter was down sequentially and compared to prior year, but still strong. Year-to-date harvest is nearly 4% above 2007, which reflected a significant volume of salvage wood from the March 2007 fires. Price is flat sequentially and slightly up on third quarter 2007. In the fourth quarter, we expect volume to be up 10 to 15% sequentially and 5 to 10% over prior year, as sawmill closures impact chip availability and pulp mills will be forced to rely heavily on round wood for their fiber supply. Grade timber prices will remain under downward pressure. Overall, price in the fourth quarter is expected to be up modestly over third quarter, due mainly to increased pulpwood pricing and geographic mix. Overall, our timber margin in the third quarter suffered from low selling pricing, increased pulpwood mix, and high depletion, as Hans pointed out earlier. However, cash flow remains solid at $18 million for the quarter and nearly $80 million for the first nine months. Turning to our New Zealand sale, the process is well under way. Investment bankers and other advisors have been retained by the joint venture. A marketing brief covering the business has been issued, and there has been significant interest expressed. Preliminary offers are expected by mid December. With that, let me turn it over to Charlie Margiotta to review the real estate business.
Charles Margiotta: Thanks, Tim. The real estate market remains unchanged from last quarter, with continued solid interest for timberlands, mix demand for rural properties, and weak demand for development properties. Our geographic diversity provides access to numerous markets at a variety of end uses. Page 11 details the third quarter HBU sales in acres as well as prior performance. Third quarter results consisted of a relatively small number of development sales in Florida and Georgia and over 2,800 acres of rural sales in virtually all of our geographic areas. Demand for rural land is impacted by the general economic conditions and is not particularly price sensitive. Average sales price per acre is shown on page 12. Third quarter rural sales prices are generally flat, and the average price of approximately $2,600 per acres is a significant premium to underlying timberland values. Note that most rural sales have very little merchantable timber value, as the timber as been harvested or reserved. Non-strategic timberland sales results are shown on page 13. The third quarter sales of nearly 11,000 acres in Alabama were the result of a sealed bid process. I would characterize the result as very competitive. As we indicated in the second quarter call, we anticipate selling an additional 20 to 30,000 acres in the fourth quarter in a similar bid process, taking advantage of what we believe continues to be a competitive and strong timberland market. With that, let me turn it over to Paul to review Performance Fibers.
Paul G. Boynton: Thanks, Charlie. Performance Fibers had a solid third quarter due to strong demand for our unique cellulose specialty products and solid markets for absorbent materials, despite rising raw material cost. On page 14, as customary, you’ll see net selling prices for our two performance fibers product lines. Looking first at cellulose specialty prices, which represent 65% of our volume, you’ll see sequentially improved prices due to the initial implementation of a $95 price surcharge to cellulose specialty customers, effective September 1, through the balance of the year. The surcharge was necessary action to help mitigate some but certainly not all of the unprecedented cost increases we continued to experience in raw materials, chemicals, fuels, and transportation. You should expect to see the full surcharge price in effect in our fourth quarter results. Looking at absorbent material prices, which consists principally as a fluff pulp, as noted here, global demand combined with currency evaluation and higher raw materials costs have pushed prices upward 2% over prior quarter and 10% above third quarter 2007. Despite declining global economic conditions and recent drop in commodity pulp prices, we expect our fluff prices in the fourth quarter to be comparable to the fourth quarter. Moving on to page 15 and looking at volumes, you can see the increased sales of our cellulose specialty products above both the prior quarter and similar quarter a year ago due to improved operations and timing of customer orders. Year-to-date sales are now above prior year by 2%. Consistent with this improvement and in trend with prior years, we expect fourth quarter volumes to be above third quarter, yielding and annual total cellulose specialty sales volume of roughly 3% above prior year. An absorbent materials volume of 67,000 was above prior quarter due to better performing operation and lack of a maintenance shutdown at our Jesup, Georgia facility, where these products are produced. We expect fourth quarter absorbent materials volumes to be significantly above third quarter, bringing the full year sales comparable to prior year. With the price and volume improvement in both performance fibers products lines, third quarter operating income results were well above second quarter and comparable to third quarter prior year. Looking ahead to the fourth quarter, we see continued cost increases that will outpace the recently implemented price surcharge. We anticipate operating income below the current quarter and slightly below fourth quarter 2007. In summary, we had a solid financial quarter driven by one exceptional demand for our high-value cellulose specialty fibers, where nearly all the volume is under long-term contracts through 2011 and Rayonier is the global market leader, and second, the overall strength of the absorbent materials market. Now, let me turn it back over to Hans.
Hans E. Vanden Noort: Thanks, Paul. With that, let’s turn to page 16 to review earnings trends. Based on current market conditions, we expect fourth quarter earnings to be comparable to third quarter earnings at $0.50 per share, resulting in full-year 2008 earnings below the ’07 pro forma EPS of $2.33. Before I close, I’d like to update some key statistics to assist you in refining your model. First, for 2008, we expect depreciation, depletion, and an amortization of $161 million and a non-cash cost basis of land sold of $12 million, or approximately $173 million in total. This would be a $9 million increase from 2007 and $3 million above previous guidance, driven by increased depletion. Capital expenditures, excluding acquisitions, are expected to range between $105 and $110 million, which is $8 to $13 million above 2007, with the increase focusing Performance Fibers on operational and reliability improvements and environmental projects. We expect interest expense, net of interest income, to be between $43 and $45 million. Finally, our year-to-date effective tax rate was 10.4%, which is below our expectation for the full-year rate, due to the favorable discreet adjustments noted earlier. The effective rate can vary significantly based on the mix of income between our REIT and TRS businesses and light kind (ph 00:21:22) exchange businesses. With that said, we expect the 2008 effective tax rate to be in the 11 to 13% range. This is below previous guidance, and now it reflects the impact of higher costs in our Performance Fibers business, thereby reducing the proportion of TRS income to total income. When you put all these elements together, we continue to anticipate strong cash flow, although CAB will be below last year, primarily due to higher capital expenditures and lower EBITDA. Now let me turn back to Lee for some summary comments.
Lee M. Thomas: Thank you, Hans. Let me just conclude by saying that although there’s significant turmoil in the credit markets, our businesses are performing well and clearly have the ability to generate cash flow in a very strong fashion. As a result, cash available for distribution in 2008 is anticipated to be well above our dividend requirement. Additionally, our low debt levels and no near term maturities provide significant operating flexibilities. Now with that, I’d like to close the formal part of the presentation and turn the teleconference back to the conference operator for questions from the audience.
Operator: (Operator Instructions) And our first question today is from Tyler Old.
Tyler Old – J.P. Morgan: Good morning. I just was wondering if you had noticed any change in the demand for rural land in the past few months, particularly given what’s been going on in credit markets. I think one of your competitors recently announced some land sales that had been cancelled in parts of Florida.
Lee M. Thomas: Charlie, you want to respond to that? I think as you noted in your comments, we have had rural land sales kind of across the country. I don’t believe we had any in the last quarter in Florida but we’ve had them pretty well across the rest of our property.
Charles Margiotta: Yeah Tyler it’s certainly mixed but because of our geographic diversity, for instance in the last quarter we had some pretty good sales in Washington State, in the state of Georgia, you know, no doubt that credit is having some impact but I’d say prices are steady. Demand might be off a little but it’s quite mixed but I’d say it’s relatively steady.
Tyler Old – J. P. Morgan: And then just on the timber business we’ve been reading a lot about the limited availability of loggers, particularly in the Southeast, are you experiencing any of this and are there things that you can do to maybe improve that situation?
Lee M. Thomas: You know, Tim, one of the things I think is helpful to loggers now is the fact that diesel prices have begun to go back down but I know we have seen the impact of high energy prices on some of the logging crews.
Timothy H. Brannon: We certainly have, Lee, with the problem of just diesel not only for the trucks, getting the wood to the mills, but also in their operations in the woods of course. It is coming down. That’s going to be favorable to them, but certainly with the grade logs having fallen as far as they have and the demand having slacked off, we have seen some loggers that have basically parked up their equipment and so there is some reduction in that. Certainly right now we are seeing that we are able to meet all of our demands in terms of supply to the mills and so forth. We are not having any particular problem. I would think that over time as markets do improve over the next year or so that could become more of an issue but we will just have to wait and see how that materializes.
Tyler Old – J.P. Morgan: Okay, thanks, and then just any early guidance on how we should be thinking about CapEx in 2009?
Lee M. Thomas: No. I think as far as 2009 is concerned, we will be giving all our guidance in our January call.
Tyler Old – J.P. Morgan: Okay, great. Actually just one last housekeeping question, the land bases for this quarter, do you have that handy?
Hans E. Vanden Noort: One second. I believe third quarter was about $3 million.
Lee M. Thomas: Three million dollars?
Tyler Old – J.P. Morgan: Great, thanks very much.
Operator: And our second question today is from Mark Weintraub, Buckingham Research.
Mark Weintraub – Buckingham Research Group: Thank you. First, have you started the process on the $20 to $30,000 acres that you are considering selling in the fourth quarter? Are you noticing any change in the tenor of the market, given developments in financial markets, etc?
Lee M. Thomas: We have started the process. Charlie you want to talk about it?
Charles Margiotta: Yeah I need to be a little careful here because we are in the middle of it. Bids were due in the latter part of last week. The bids are in. We are reviewing them. We are quite pleased with the level of activity and we’ve seen no fall off in the competitive nature of that market. So, we have certainly those jobs aren’t closed but the bidding was completed last week. Half of those properties are in Georgia and half of those properties approximately were in Alabama.
Mark Weintraub – Buckingham Research Group: Right and if it does go well, is this program something that you would likely continue into next year? Would you continue to accelerate some timberland sales?
Lee M. Thomas: Mark, we have taken a look at that over the course of this year and our intent is to continue to pursue that strategy of upgrading the portfolio which is looking across our non-strategic lands, given the strength of demand in that marketplace, so yes I would anticipate we would.
Mark Weintraub – Buckingham Research Group: And you use the word upgrade. Does that mean that you are also, because you obviously did something in April, would you expect to be in the market buying land in the year ahead as well?
Lee M. Thomas: Well you know, this year we did buy two pieces of property, about 110,000 acres in Washington State and New York and our strategy long term is to continue to upgrade which means not just acreage but quality as well so that’s where the sales come from. I think in the kind of overall financial shape of the market, we would be very cautious as far as our buying is concerned. And, we have only bought properties, even the two we did this year that really met our criteria where we were able to negotiate what we felt were good overall acquisitions and both of them adjoined our current property, but I think it was a compelling case. Clearly our strategy is to look at acquiring property. We are just going to be very conservative, given the financial shape of the markets.
Mark Weintraub – Buckingham Research Group: Right. I’ve got more questions but I will just come back on so as not to take up too much time. I’ll come back at the end.
Lee M. Thomas: Okay.
Operator: (Operator Instructions) And we have Mark Weintraub with Buckingham Research.
Mark Weintraub – Buckingham Research Group: Okay, I did have follow up questions. On the performance fibers side, obviously there have been some pretty sharp drop-offs in the paper pulp market in the most recent past. A) Are you beginning to see any of that spill into your fluff pulp business? Would you expect it to spill into your fluff pulp business? Let me start there and then some questions on the chemical cellulose part as well.
Paul G. Boynton: Mark, it’s Paul. Let me comment on the fourth quarter only. We will leave 2009 to January as Lee indicated and Hans indicated. We don’t anticipate to see much drop off in the fourth quarter with our pricing. If anything, it’s going to be comparable to third quarter. We certainly expect some downward pressure but the nature of that, we don’t see that will flow through in these three months.
Mark Weintraub – Buckingham Research Group: Okay and then I assume, well would the lagged impact also potentially be true in the chemical cellulose? I think, as I interpreted what you are saying is that fluff pulp, yes there could be downward pressure, but it takes awhile until that would play through. Would you also anticipate that there could be pressure on the chemical cellulose business after a lag or is that sufficiently differentiated that they are two separate markets?
Paul G. Boynton: They are clearly two separate markets. We wouldn’t see any connection between the two and I think you interpreted my comments on fluff pulp pricing with the lag correctly, but our cellulose speciality business is very unique. It’s almost kind of a chemical business if you will and that’s negotiated on the annual contracts and we are currently in the process of doing that right now.
Mark Weintraub – Buckingham Research Group: Can you give us any sense, obviously I understand there is going to be sensitivity about being too precise, but given the extreme uncertainty investors have in this environment, can you give any sense of comfort to understanding how those types of negotiations might be going?
Paul G. Boynton: Yeah the negotiations are going very well. The market for our product is very tight and demand is very strong and we would expect to see our ability to pass on some of our costs we have experienced this year into our pricing into 2009. I think that’s all I can say at this point.
Mark Weintraub – Buckingham Research Group: Okay, appreciate it.
Operator: Well, we have no more questions at this time. We would like to remind our audience it’s *1 to ask a question. And our next question is from Tyler Old, J.P. Morgan.
Tyler Old – J.P. Morgan: One last follow-up, just in terms of the slow down, where do you think we are in terms of the salvage recovery out on the west coast?
Lee M. Thomas: You know, Tyler, I’m going to let Tim respond to that, but I would say we’ve moved an awful lot of the salvage wood off our property. The issue that we are running into and have run into this year is the fact that there’s a lot of additional timber from adjoining properties that are in the marketplace and we think that is what will play out in the fourth quarter and beyond and that’s what is depressing the market. In other words, we think we have pretty well finished the harvest or will in the fourth quarter anyway with most of our salvage wood, but Tim do you have any further call on that?
Timothy H. Brannon: Lee, that’s basically right in terms of what’s affecting us. We feel as though we’ve gotten through most of ours. We’ve got some in the fourth quarter that may bleed over into the first quarter of next year. But, there are other ownerships that certainly still have a blow down there and we would expect that to have at least some limited impact on pricing as we go into 2009, sure.
Tyler Old – J.P. Morgan: Great, that’s very helpful, thank you.
Timothy H. Brannon: Okay.
Operator: (Operator Instructions) And we have no questions at this time.
Hans E. Vanden Noort: Alright, well, this is Hans Vanden Noort. Thank you very much for joining us and please follow-up with Carl Kraus with any additional questions. Thank you.